Operator: At this time, I would like to welcome everyone to the Nokia first quarter 2007 earnings conference call. (Operator Instructions) I will now turn the call over to Mr. Bill Seymour, Head of Investor Relations. Sir, you may begin.
Bill Seymour: Thank you. Ladies and gentlemen, welcome to Nokia's first quarter 2007 conference call. I am Bill Seymour, Head of Nokia Investor Relations. Olli-Pekka Kallasvuo, President and CEO of Nokia; and Rick Simonson, CFO of Nokia are with me today. During this briefing and call, we will be making forward-looking statements regarding the future business and financial performance of Nokia in the mobile communications industry. These statements are predictions that involve risks and uncertainties, actual results may therefore differ materially from the results currently expected. Factors that could cause such differences can be both external, such as general economic and industry conditions, as well as internal operating factors. We have identified these in more detail on pages 12 to 24 in our 2006 Form 20-F and in our press release issued today. Our aim is to finish this call in approximately one hour. To view the supporting slides while listening to the call, please log on to nokia.com/investor. A replay of the call will be available shortly after this call until April 26. The call will also be archived on our website. Olli-Pekka, please go ahead.Olli-Pekka Kallasvuo: Thanks, Bill. Good morning and good afternoon, ladies and gentlemen. Nokia had a solid first quarter. Our gross margin was 33.1%, up 70 basis points sequentially. Excluding special items, Nokia operating margin of 13.6% was also up. The EUR 89 device ASP was the same as last quarter. Nokia operating capital was very strong at EUR 1.6 billion. Our device market share was 36%, flat sequentially, but up compared to last year. In a seasonally down market, net sales were actually up sequentially in multimedia and enterprise solutions, driven by highly popular products like the Nokia n73 multimedia, achieved an all-time record high quarterly net sales and operating margin. During the quarter, we started shipments of three key products: the Nokia 6300, the Nokia n95 and the Nokia e65. All of these devices have been very well received by the market and have a great initial uptake. In fact, according to JFK retail data from the first week of April, the Nokia n95 was the best-selling device in the UK and the Nokia 6300 was the third best-selling device there. Let's take a closer look at the overall device market and our device business. We estimate the first quarter mobile device market was 353 million units, growing 18% year-on-year and was down 13% sequentially. The slide shows our estimates of the regional and technology market statistics for the first quarter. On a year-on-year basis, the emerging markets continue to be the driver of volume growth with markets like China, India and Middle East and Africa seeing a year-on-year growth of 30% or more in the first quarter. The sequential decline in the sell-through was generally in line with the normal first quarter seasonality; however, we believe there was a channel inventory overhang in the market from certain of our competitors’ products. The market seems to be working through most of this inventory reasonably well, but we think it impacted industry and Nokia sales in volumes in the first quarter. The point is, we have not seen a tier-one competitor have such a big change in operating fortunes in such a short period of time. Fortunately, the excess channel inventory has been mostly worked through and we believe the market looks solid and more like normal. On to the product highlights for the first quarter. The entry level Nokia 1600 and Nokia 1110 families were again the top volume products for us the quarter. The demand for the Nokia 5200 and the 5300 mid-range music devices was very strong, with combined volumes doubling sequentially to almost 5 million units. These devices have been good profit generators for Nokia and combine to actually the number one margin contributor for mobile phones in the quarter. During the quarter, we started shipments of the Nokia 6300. Shipments began in China and then spread to the rest of the world. The reception of this product in the market has been extremely positive, quickly becoming one of mobile phones higher revenue and profit generators. It's worth noting that according to JFK, the Nokia 5300 music device and the new Nokia 6300 are currently the top two selling models in their price band in China. Nokia multimedia [computers] had volumes of close to 8 million units, up 25% from last quarter. Nokia n73 sales were up over 40% sequentially, and the n73 was by far the number one sales and profit contributor for Nokia in the quarter. The Nokia n95 started shipping globally in the last few weeks of the quarter and initial feedback and reviews of the n95 have been extremely encouraging. I think the ‘how to spend it’ section of the [FD] put it well when it wrote, “I do believe we are looking at the best all-around phone of the next 12 months, iPhone included.” As it approached its one-year anniversary, the Nokia e-series sold over 1 million units in the quarter. The Nokia e51 was the best-selling product for enterprise solutions, followed by the Nokia e65, which only started selling midway through the quarter. The sleek and feature-packed Nokia e65 slider has been high demand and very good initial traction in the market. Now for important products for the second quarter. In the entry level, the high volume devices are expected to be the Nokia 1600, the 1110, 2310 and 2610. During the first quarter, we ran a commercial pilot of our new low-cost, single-chip Champion platform. We plan to continue the roll-out of Champion this quarter across existing and new products. In the midrange, we expect the Nokia 6300, the 6131, the 6233 and the 6288 to sell in high volumes. We also expect to start shipments of the new Nokia 3110. The new Nokia 5700 Xpress Music device started shipping this week. Also during the second quarter, we plan to start selling the Nokia 6110. Now, we have a slide phone with HSDPA and GPS that we announced at 3GSM in Barcelona to create enthusiasm. The Nokia 6110 offers a full personal navigation experience with integrated maps, routing and navigation available with a click of the phone's one-touch Navigator key. In multimedia, the products are expected to be Nokia n73, n70, n95 and n76 multimedia computers. For enterprise, we estimate the key volume products will continue to be the Nokia e65 and e50. We also expect to start shipments of the Nokia e61i and the e69 Communicator. The Nokia e65i has a full keyboard and is designed specifically for extensive mobile email use. The Nokia e90 is our latest device in the successful and high-value Communicator series. It offers Wi-Fi and HSDPA, as well as other features like integrated GPS and a 3.2 mega pixel camera. We are excited about the new products Nokia is introducing, but it does not come without significant challenges. Over the next three quarters we plan to announce many new devices and as I said, we will also be rolling out a new low-end engine. This will require us to do fast ramp-ups of many new products and platforms at the same time. For to us fully benefit from these rollouts, it will require excellent execution. It's always a challenge, but we do have some experience in this area. In April, Nokia Siemens Networks started operations. The delayed start was challenging for the organization, but I am impressed with the team's determination to close the transaction and get the new company's operations fully up and running. Nokia Siemens Networks hold a top 3 position in the wireless and fixed communications market. It has approximately 600 customers and operates in about 150 countries. As indicated by the recent reduction of our infrastructure industry growth estimates for this year, there are more challenging times ahead for that market. The challenging market dynamics provide further rationale for the creation of Nokia Siemens Networks. I also feel strongly that we put together a great management team with an unwavering focus on customers and execution. We believe that this new company has the scale, the reach, portfolio and innovation to be in a leading position in the communications infrastructure market. More importantly, we are totally committed that Nokia Siemens Networks will provide value to its owners -- Nokia and Siemens – and of course, value to the Nokia shareholders. With that, I will pass it over to you, Rick.
 Rick Simonson : Thanks, Olli-Pekka. First, I want to cover a few key points around the recent IPR activity, try to cut through what seemed like a lot of noise and discuss what is relevant and important for Nokia. As you know, April 9th passed without any new agreement between Nokia and Qualcomm. However, we continue to be in cross-license negotiations and are working to reach a mutually acceptable agreement as soon as possible. After April 9th, Qualcomm's early patents are now fully paid up, royalty-free to Nokia. Any future royalty arrangement with Qualcomm needs to address Qualcomm's latter patents only. This agreement should reflect that we believe that to Qualcomm's relative contribution to the development of technology used in mobile devices, especially W CDMA, is significantly lower than in 1992. Reflecting these changes that occurred over the partial expiration of the old agreement, and other compelling reasons, we made a $20 million payment to Qualcomm, which we believe is fair and reasonable compensation for the use of Qualcomm's patents in UMTS handsets during this quarter. We intend to make similar payments in the future and we will announce these payments when they are made. Since Qualcomm has indicated they will not accept our payouts, we have deposited them in an escrow account for Qualcomm’s benefit. We also have said that Nokia has paid less than 3% cumulative license fees for all patents under all its patent license agreements. This number is a gross number, and it excludes infrastructure royalties and all royalty income collected by Nokia. The point of this disclosure is that we want to highlight that there's no such thing as a Qualcomm standard agreement or a so-called standard rate. The actual payment -- i.e., what you pay -- is subject to a lot of different commercial terms and conditions from Qualcomm. We then later stated that we believed Qualcomm is currently using over 100 of Nokia's GSM, WCDMA, and CDMA 2000 central patens in its chipsets. We have yet to agree with Qualcomm on the compensation due to us for these patents, but this is a very important and critical component to our ongoing negotiations. So what's our end game with all of this? Nokia, over the last 15 years, has invested close to EUR 30 billion in R&D, and we have over 11,000 patent families. We want to be fairly compensated for our leading R&D investment and IPR and portfolio, both by paying what is fair and reasonable -- nothing more -- and also by ensuring that we are properly compensated by those who are using our technology. So in the end, Nokia will continue to act to ensure the long-term viability of our business and we will work to retain the value our innovation has created over the years for the benefits of Nokia, its shareholders, our customers, the end users and for the overall well-being of the industry. Now, let's move on to the first quarter financials. In the first quarter, Nokia net sales were up 4% year-on-year and down 16% sequentially. Importantly, Nokia's gross margin was up 70 basis points sequentially, and was up in three of the four Nokia business groups. Mobile phones business group gross margin was up 60 basis points compared to Q4. The increase was driven primarily by strong volumes of the Nokia 5200 and 5300 as Olli-Pekka has commented on, and also a by positive contribution from the Nokia 6300, a high value, mass volume product. Gross margin was down sequentially in multimedia and up in enterprise solutions. As we have said, you should expect and will see some volatility from quarter to quarter in our device gross margins, but a good performance in Q1. In networks, the slight sequential margin increase was driven by favorable product and customer mix. Reported Nokia operating margin of 12.9% was down slightly sequentially in Q1. Excluding special items, operating margin was up 30 basis points to 13.6%, driven by the gross margin increase and slightly offset by an increase in OpEx as a percentage of sales. Excluding special items, mobile phones operating margin was down 40 basis points sequentially, caused by some higher OpEx as a percentage of sales. Excluding special items, multimedia operating margin was up 370 basis points sequentially, helped in part by a decrease in OpEx. Enterprise solutions operating performance improved significantly in the quarter, as they saw good leverage from the increase in the sales of the e-series devices. Excluding special items during the quarter, the operating loss was EUR 21 million. We are targeting that enterprise solutions will breakeven this quarter. Excluding special items, networks operating margin was down over 200 basis points sequentially in the first quarter, driven by the negative operating leverage caused by the decline in net sales. Looking at OpEx for Q2, we have a number of key new products hitting the market in the next few months and we expect to see an appropriate increase in marketing investments to really support these launches. Nokia first quarter device ASP of EUR 89 was flat sequentially. The stable ASP was primarily driven by strong sales of multimedia devices, which had a significantly higher ASP than the overall Nokia device ASP. This was partially offset by the impact of the higher percentage of entry-level device sales as compared to fourth quarter. During the quarter, we had a total of EUR 69 million in special charges. We had EUR 32 million restructuring charges, split between enterprise solutions, mobile phones, multimedia and common group, all of which impacted operating profit. We also had EUR 25 million charge related to a restructuring of a subsidiary company, which impacted mobile phones operating profit. Finally, we had a EUR 12 million charge for Nokia Siemens Networks related to incremental integration and merger cost expensed during the first quarter, hitting Networks operating profit. So excluding these special items, first quarter operating margin was 13.6% versus a reported 12.9%. The impact of the first quarter special items to diluted EPS was EUR 0.01. So excluding these special items, first quarter diluted EPS EUR 0.26 versus a reported EPS of EUR 0.25. Concerning currencies, reported first quarter year-on-year net sales growth was 4%; in a constant currency, it was 6%. Over the last few months, the dollar has weakened considerably and the euro-dollar is now at about 1.36. The weaker dollar will likely have a little impact on us going forward, considering that about 40% of our net sales are dollar denominated. Next, let's look at some of the balance sheet and cash flow items. Inventory up slightly sequentially in the first quarter. Accounts receivable, down sequentially. CapEx, EUR 123 million. Total operating cash flow in the first quarter, a very strong EUR 1.6 billion. Our cash and liquid assets stood at EUR 9.1 billion at the end of the first quarter. Now, let me give you an update on some of the key financial metrics for Nokia Siemens Networks. First, on the Nokia Siemens Networks operational synergies, we continue to estimate we will achieve EUR 1.5 billion in annual cost synergies by 2010. The majority of these synergies are expected to come in the first two years of operations. Second, on the financial targets for Nokia Siemens Networks, we continue to target double-digit operating margins, before restructuring charges for Nokia Siemens Networks, by the end of the first year of operations. This target has become a bit more challenging, considering the end of the first year of operation now falls on a first quarter, which is normally a down quarter for infrastructure revenues. Thirdly, in terms of restructuring costs and other important accounting items for Nokia and Nokia Siemens Networks, we continue to estimate the total restructuring and integration costs will be approximately EUR 1.5 billion, with 75% of these costs incurred within two years after closing. We expect that these Nokia Siemens Networks charges will be taken on a quarterly basis and we plan to incur significant charges starting this second quarter. We will not be estimating these charges for you ahead of the quarter, but rather we will break them out very clearly for you as special items that we will report on a quarterly basis. Right now we are in the process of doing the final valuation of net assets we acquired from this transaction, which will determine the purchase price allocation. We expect we will realize a non-cash and non-operative accounting gain on this transaction in the second quarter. We will provide you with more details on this gain at a later date. As we do with other non-operative items, we will break them out clearly for you as a special item in the quarterly report. The creation of the new company will also result in a sizable amount of intangible assets coming to Nokia's balance sheet. These will be amortized on a quarterly basis. We will also break these out clearly for you, so you can identify the P&L impact of the transaction formation on ongoing operations. In order to help you with your modeling, where we have had numerous inquiries, I would like to explain a bit more on how the accounting for Nokia Siemens Networks will work within Nokia. As you know, we are fully consolidating Nokia's Siemens Networks. As Siemens owns 50% of the entity, Nokia Siemens Networks profits and losses will be shared 50/50 between the parents, but it also means that all special items recorded at Nokia Siemens Networks are also shared 50/50. For example, the restructuring charges and amortization of intangibles that I just referred to will, in effect, be shared 50/50 between parents. The 50% share to Siemens, whether it be positive or negative, will flow through our minority interest line on our P&L. You will see the impact of these when we report second quarter, but to be as transparent as possible and help you in your modeling, we put a theoretical example in the addendum to these slides of how the accounting will work. It basically shows you how the accounting works for a theoretical EUR 100 units of profit before tax, line item by line item, including and excluding examples with special items. Please take a look and give the IR team a call if you want us to walk you through that in more detail. So here's Nokia's industry outlook for the second quarter and the full year 2007. Nokia expects industry mobile device volumes in the second quarter 2007 to be slightly up sequentially. We expect Nokia's device share in the second quarter 2007 to be approximately at the same level sequentially. Nokia continues to expect industry mobile device volumes in 2007 to grow by up to 10% from the approximately 978 million units we estimated for 2006. Nokia continues to expect the device industry to experience value growth in 2007, with some decline in industry ASPs, primarily reflecting the increasing impact of the emerging markets and competitive factors in general. Nokia continues to target an increase in its market share in global devices for the full year 2007. Lastly, Nokia continues to expect very slight market growth for the mobile and fixed infrastructure and related services market in euro terms in 2007. With that report on the very solid first quarter numbers, I will turn it back to Olli-Pekka.
Olli-Pekka Kallasvuo: Thanks, Rick. These events we have seen in our industry over the last few months have really underlined the validity and virtues of Nokia's long-term business model. Nokia's key competitive advantages over the years have been its leading brand and world-class logistics and distribution. Having a few key products can make a big difference in the short term, and can pay you a lot in terms of share and margin, but that strategy does not form the basis of long-term competitive sustainability. Of course, our core strengths don't always fully insulate us from dips in our product cycle, however, these course trends continue to be a huge competitive advantage for Nokia. Looking at the current product portfolio, I am very encouraged after the recent product launches; and of course, there's more to come. We have been exploring what we believe will be the next wave of value creation for Nokia and its shareholders. I believe that in the future, Nokia’s long-term value will be driven by Internet convergence that enables Nokia to expand into music, cameras, video, games and enterprise applications. By offering people end-to-end experiences, including devices, applications and services, we provide simplicity and ease of use in these new areas of convergence. We believe that this value add for the consumer will translate into incremental clout and value to Nokia. We will be discussing about this in the near future. Thank you very much.
 Bill Seymour : Thanks. We will now continue with the Q&A session. As a friendly reminder, please limit yourself to one question only. Operator, please go ahead.
Operator: (Operator Instructions) Your first question comes from Bill Cusack – Bear Stearns.
 Bill Cusack – Bear Stearns: I want to talk a little bit about OpEx and margins. The drop in the OpEx in multimedia in particular was great, and I wonder about the sustainability in that; especially given the number of products that have launched in the last few weeks and will be launching over the next couple of months. Should we be watching for an OpEx increase, or is that something that we can see sustainable over the next few quarters? Thanks.
 Rick Simonson : Thanks for the question and noticing the impact. This is about gross margins, and let me start there. We have shown now two quarters of sequential increase in gross margins, so I think we have answered the question about stability there. OpEx, again, I feel good about how the team has been working at the OpEx. We really saw the benefit of the scale in multimedia. To your question of going forward, in the second quarter in terms of aggregate OpEx, of course, we expect an appropriate increase. On the Nokia level, you are going to see quite a larger number because of our larger infrastructure side, but let's focus back to devices, where I think your question was. What you are saying is, is that sustainable? I think we have shown that we struck a pretty good balance of the right level of OpEx so that we can sustain the operating margins at or above the targets we have given to you. We are operating in mobile phones and multimedia here at a pretty good rhythm, at or above those 17% target levels when you get down to operating profit.
 Bill Cusack – Bear Stearns: So you think that 17% holds going forward?
 Rick Simonson : We haven't changed that. It looks like by the numbers it's holding, and we also saw, I think importantly, you will have noticed the good improvement in the mobile devices and enterprise solutions and that makes a difference.
 Bill Cusack – Bear Stearns: That's great. Thanks very much.
Operator: Your next question comes from the line of Has Malik - Citigroup.
 Has Malik – Citigroup: I would like to ask a question on the U.S., and specifically if you could give us a bit more detail on what has driven the delays to the retail launch of the n75 in the U.S. market? Is it to do with operator testing? Is it to do with customization? Is it to do with the IPR issues? Particularly asking this question in light of Motorola's comments yesterday about some subsidy activity shifting from 2G to 3G in the U.S. market. A very strong quarter obviously, but the U.S. remains an area of weakness.
Olli-Pekka Kallasvuo: I understand the question is really about n75, as opposed to a wider question about the U.S., and in fact, I would be very, very optimistic that that product would be hitting the markets very soon. So that's something very positive I can almost report now here.
 Has Malik – Citigroup: And in terms of what has actually driven the delays so far?
Olli-Pekka Kallasvuo: The delay, of course, we can always talk about delays and how they do come about, but this matter here is a pretty complex matter. Mainly the delay has been related to operator testing.
 Has Malik – Citigroup: Thanks very much.
Operator: Your next question comes from the line of Tim Long - Banc of America.
 Tim Long - Banc of America : Olli-Pekka, could you talk a little bit about, obviously you have a competitor back on their heels right now and it seemed like Q1, very solid on both ASP and margins. Could you talk to us a little bit about how you look at your strategy on the tradeoff between market share and profitability over the next two quarters? Related to that, looking into Q2, you have a lot of new products. You highlighted some marketing expense that will be needed for that. Why is the goal not to gain share in Q2, rather than have flat shares sequentially? Thank you.
Olli-Pekka Kallasvuo: As always, that's a very good question and definitely, I continue to believe that we need a reasonable target for more market share; but at the same time, I think we need to tactically manage the situation that we maximize the bottom line in any given quarter. That's what we have been doing. Also now in the first quarter, we are not overly aggressive with our pricing, and in that way, we did maximize our bottom line and you saw a very good progress in the gross margin. However, I would like to take the opportunity really to talk about the good progress we have been seeing here when it comes to market share in certain parts of the market that are not always noticed. I think too much attention has been paid of late to our emerging market position, and there's been a lot of discussion about that. The good progress we have been making in other markets has been put aside. Now in the first quarter, we took market share in wideband CDMA, we took market share in music and very importantly, in addition to Asia Pacific, we took market share in Europe. Since we all know the nature of the European market, I think it's a very good illustration of the fact that we are making, really, a lot of headway in all tiers and all segments, price points of the market. In that way, you need to look at the market share but I think even more so going forward, also as the value market share as opposed to volume market share. I think the first quarter was the best possible illustration of the fact that we can grow our share outside the so-called emerging markets as well. I feel a lot of attention should be paid to that. However, of course like I said, the overall thinking goes and will continue to go, volume market stays important. You get the volume benefit in your sourcing because of that, and that's what we will target for the full year. When it comes to second quarter, we basically gave out the estimate that the markets will be approximately the same as in the first quarter; but obviously the full year target setting will be relevant in our thinking also in the second quarter.
Operator: Your next question comes from the line of Jeffrey Schlesinger - UBS.
 Jeffrey Schlesinger - UBS : Olli-Pekka, we have seen your numbers, your competitor numbers, ASPs have actually been pretty good in the first quarter. Do you think this is starting to reflect some of the dynamics in the emerging markets where there's an upgrade cycle now occurring, with trends in new product cycles in the developed markets? Second, you touched on long-term value being driven by Internet services and applications. Can you give us a sense of when, based on your model for rolling this out, when that will start to become evident to investors? That's it for now. Thank you.
Olli-Pekka Kallasvuo: Thank you, Jeffrey. Yes, I think, in fact, you are right in saying that in the emerging markets are not any more too simplistic when it comes to their dynamics. Obviously we are seeing the upgrade cycle happen more and more in China and also in India. But at the same time, there's a lot of possibility to do penetration increases as well. We cannot put that aside at all. We need to be very, very proactive in targeting more and more rural markets in India and really leverage the penetration increases as well. Of course, then we'll look at the operating in India and China, and in addition to that, like I said a moment ago, there's a pretty good opportunity in the multimedia area as well. I continue to think that the ASPs really then will reflect on how each of these markets will develop in the future. In that way, I'm not going to really give out ASP estimates, but at the same time, I'm pretty encouraged by the stability we have seen there now during the last two quarters. In that way, it is encouraging. Multimedia will be more and more important in that totality. Then we have the second question concerning the…?
 Jeffrey Schlesinger - UBS : The Internet services and applications that you touched on.
Olli-Pekka Kallasvuo: How can I forget that important – I mean, I am really ashamed here in the way that that is so relevant. We will be discussing our target setting when it comes to consumer Internet services and experiences in this business here in the near future. We are not in a position to communicate our final targets here as of yet. We feel we need to be able to be in a position to make a material addition to Nokia sales from Internet services and experiences business, but it's too early to comment on the final targets in this call. A lot of work is ongoing in that area and we are extremely committed and excited about the possibilities.
Operator: Your next question comes from the line of Mike Walkley - Piper Jaffray.
 Mike Walkley - Piper Jaffray: I wanted to go back to your comments on competitive inventory in the channel. Can you give us some color on which markets you still see some inventory out there, and which product tiers they are in?
Olli-Pekka Kallasvuo: Like I said in the opening, that fortunately the markets have been working through the excess inventory pretty well and the situation is more like normal as we speak. So in that way, I see less of an impact from that in Q2 in comparison to Q1. Like I said, it's more like normal. But definitely during first quarter it was a very interesting situation. I think the impact there has been quite a big difference between sell in and sell out market sizes. That really has distorted the picture quite a bit. In fact, it looks to me that in the first quarter the sell in market size was smaller than the sell out market size in a material manner. That definitely had an impact on the dynamics in the first quarter.
Operator: Your next question comes from the line of Richard Kramer - Arete.
 Richard Kramer - Arete : Thanks very much. On the last quarter conference call, you talked about turning up the heat, albeit slowly, on some of your competitors and exploiting some of their weaknesses. How might you intend to do so in the coming quarters? How might we see that or see Nokia benefit from the fact that several of your competitors seem to be refocusing on some internal issues or trying out new business models? Will this be something we see in a geographic sense? Will it be something we see, as you mentioned before, in terms of particular product segments or profitability? Or is there some push later in the year, perhaps not in the second quarter, for more market share? You really didn't address fully the question previously on the U.S. market. I think a year or so ago when you came on as CEO, you mentioned you were going to spend a week or so out of every month in the U.S. We continued to see units decline year on year. Can you give us some sort of prognosis, when and if the U.S. might turn around for Nokia, and what might spark that happening? Thanks.
Olli-Pekka Kallasvuo: I will start with the second question and then I will move on to this turning up the heat matter. If you look at the U.S. market and I simplify a bit, if you allow that, in order to make the point. So in China, we do have about 1.3 billion customers -- or potential customers -- meaning the consumers in that market. In the U.S., we have four -- and I'm not talking about billions here. Four customers. In that way, at the moment because of the operator dominance in the channel, you need to look at each of these customers separately. You have, in this way, one dimension only looking at this situation. So there we have to look at obviously, Verizon Wireless, Sprint Nextel, AT&T, and T-Mobile, the four customers that really are very, very important in the totality. I will discuss each of them separately, in that order, in fact. With Verizon, we definitely are undergoing a change in the business model, like you know. We decided to stop R&D and manufacturing and CDMA and move to an ODMA business model in CDMA and here Verizon Wireless comes to play very extensively. We have a very good cooperation, a very good discussion ongoing with Verizon here, as we are moving from one business model to another. That transition will take place during this year, and we will see the impacts of that transition in '08. With Sprint, it's partly a question about the same matter that I just spoke about when I mentioned Verizon; but more importantly, with Sprint we are making inroads to their new fourth generation WiMAX networks both on the systems side and in the handset side. Again here, looking at their implementation schedules, the relevant time period for that change is also '08. I mean, that change cannot be expected in '07. So this 50% of the U.S. market roughly that is covered by Verizon and Sprint. We will see the impact in CDMA in '08. I think the next one was AT&T. We made a decision in the fall of '06 to convert the [Sunderco] R&D center to making U.S.-specific products and in that way, we are investing heavily in upgrading our U.S. position by simply tailoring products to the U.S. operators. Here AT&T definitely is the most important target. The much deeper cooperation with AT&T is ongoing and we will start seeing the impacts already this year from that. With T-Mobile, it's more like intensifying, therefore no fundamental change and I think we are making good progress there. In that way, it's tough to pull these four operators together in order to get the totality here. But you cannot look at the U.S. market simplistically. I continue to spend a week a month in the U.S., so I'm not giving up here. Now when it comes to turning up heat, again it’s a question about managing each quarter here statically in the right way, by combining your aggressive market position and margins in the right way. This we did in the first quarter of this year, maximizing the bottom line. We will be very proactive doing that also in the second quarter and in that way, what I said about slowly, I think that's applicable, rather than making aggressive ad hoc moves that will not give the best possible outcome in medium to long term.
Operator: Your next question comes from the line of Paul Sagawa - Bernstein.
 Paul Sagawa – Bernstein: If I'm looking at some significant differences between shipments into the channel and out of the channel in the first quarter, it would suggest that the end demand in the first quarter was really quite robust. You reported on a ship in basis 18% year-over-year market growth. If there were a material difference between sales out and shipments in, we're looking at growth maybe approaching 20% or even over 20% year-over-year. Now, if we look at your overall market guidance of 10% growth for the full year and for flattish to slightly up market in the second quarter, despite an idea that perhaps the shipments in and the sales out would equilibrate a little bit more with the channel inventory situation, are we to read that you are implying some sort of real inflection point in the nature of demand in the marketplace and that we would see a material slowdown? Or is your overall guidance more just taking the light of trying to set an overall conservative target and not meant to be explicitly looking at that particular dynamic? The second piece I wanted to ask was about the 3G side of this. When do you expect HSDPA to be a significant device market? If we look at the sales for this year, 2007, in 2006 globally 10% of the market were 3G units. Where do you think that will be for 2007? Thanks.
 Rick Simonson : I will take the in and out question in terms of the sell in/sell out and channel inventory. Olli-Pekka will comment on HSDPA. Let me answer what was your next to last question, which is are we changing our estimate about the overall industry and the momentum? The answer is no. As stated before, we believe 2007 is going to be another year of significant volume growth. There will be value growth and we have got three quarters to work to continue that. So in that sense, the dynamics are well set. We see the macroeconomic fundamentals remain good, and region by region, there's no reason not to believe that we are going to have a year in 2007 with very good volume growth, and value growth as we said. So we are not making any changes there. Coming to your question of the sell in and sell out, that is providing a real confusion here in the market and we were in a period of extreme market share change in this quarter and exiting Q4 like I don't think the industry has seen before. What happened to Motorola is extreme. Their market shares, when they were riding a significant increase, proved to be not sustainable. So they probably were never really as high as reported. The ones now, I don't know where they are going to go from there, but definitely, they have a channel inventory problem. They have said it very explicitly. I'm only referring to that, and that does affect the overall market. We could have been foolish and pushed too hard on market share where you can't put something into the channel and that would have only hurt us in the market. Instead, as Olli-Pekka said, I think our teams played it in a very agile way. Why push into the market when in many areas you have got a competitor who you compete with across the board, who put too much product there, is not getting it out, yet on the sell out, we had very good sell out, we believe. The issue there is there's more in the channel in the industry in Q1 than what we have seen in recent times. So in extreme market share changes, there is a material difference between sell in and sell out in the market size. I don't think we should get overly concerned about analyzing this to death. It will work its way through and as we said, in terms of our operations, we see things approaching more to normal, and that's good for Nokia execution. We think it plays well for second quarter execution and meeting our goals. I just want to reiterate, we expect to take market share in 2007. We will measure that in three more quarters.
Olli-Pekka Kallasvuo: I will take the HSDPA. I think that's a very good question in the way that of course, there's been a lot of us also trying to understand how quickly HSDPA will become mainstream. I have to tell you, the operator opinions on how they are going to invest to how aggressively vary a lot from market to market. We definitely do have many operators who are investing in a major way in HSDPA and seeing that really having an impact. I in fact believe in that scenario. I think the data speeds simply are something that are so grateful to consumers that once you get that experience, you will buy in to that, and that's basically the 3G in the real sense of the word. But it varies from market to market. I think a good illustration of what is happening here is the fact that we introduced in March our first HSDPA product, n95, and now in the second quarter we are already coming up with two more, namely the 6110 and the e90. In that way, when the market leader starts to ramp up its HSDPA offering, we have seen what type of impact that can have. I'm quite a big believer in HSDPA, but obviously when it comes to this year 2007 the total impact from the market will be smaller.
Operator: Your next question comes from the line of Kulvinder Gersha - Credit Suisse.
 Kulvinder Gersha - Credit Suisse : Could you just clarify? I think you said that entry level rose in the mix in the first quarter, and given what the overall device gross margins did, mobile phones or otherwise, it seems that's not having any impact. So you are preserving very high gross margins there, combined with the fact that you are diversifying suppliers somewhat and the single-chip solution is ramping up, if anything, that should expand. Is that the right way of thinking about it?
 Rick Simonson : We did say, you heard right, that in terms of the entry level was up a bit in Q1 from Q4, but only a bit. That's how we said this would play out. That's working well. We continue to show the breadth of our portfolio there, our cost basis and our distribution advantage has allowed us to continue to drive good margins in the entry business. We feel good about how we have the operations working when it comes to executing in the low end; the cost structure and then importantly the product portfolio is just going from strength to strength as we go through the years. So a good way to think about it.
 Kulvinder Gersha - Credit Suisse : Last time around, when you moved chip sets, your major chip set platforms, the ramp was from three-quarters, maybe four. Is that something similar to this type of evolution? Now you want to do it as quickly?
 Rick Simonson : When you are talking about the ramp to the new chip set, was that the question?
 Kulvinder Gersha - Credit Suisse : Exactly.
 Rick Simonson : We will have a significant ramp in that, and in that way it's reasonable to say similar to when we went to the Scott engine. What we did a little differently here though, as we said, in the quarter we took an existing product and we put the single chip into that and that allows us to do a little bit of pre-work there and de-risk a little bit the larger roll out. But again, we have shown before that we can ramp up as we switch to the Scott engine. We believe we can successfully ramp on this new single chip engine. More important to the overall dynamics there, not so much is the engine but really the product renewal and the breadth of that. So I really think it's more about the products and how we are packaging those in terms of design, the features, the functions, the reliability, screen visibility and those kinds of things, and then offering that entry or new emerging consumer, three, four, five choices so that it can hit their aspirations. The fact that it's on a new platform, lower cost, a single chip engine to me is actually secondary; it's important. We always get advantage in terms of the costs when we make these but it's about how you can integrate them and therefore deliver those features/functions in a more robust portfolio. Nobody else in the industry can compete with us on that in terms of giving the consumer in the low end choice of product.
Operator: Your next question comes from the line of Gareth Jenkins - Deutsche Bank.
 Gareth Jenkins - Deutsche Bank: Two questions on free cash flow, if I can. You have very strong free cash flow in the quarter. I wonder if you can talk about the component parts of the non-operational stuff, so networking capital movements and the cash tax which seemed quite low, what the sustainability of those are and whether there are any more one-off impacts that we saw last quarter coming into this. Secondly related to that, Rick, and at the risk of sounding like a broken record, the generosity of your payout to shareholders is already market leading. I wonder whether, given the strength of your free cash flows covering the dividend essentially that you are paying in Q2, what you feel you can pay out going forwards from here? Is there a potential upside or do you see acquisitions going from here?
 Rick Simonson : Cash flow, I love to talk about it. 1.6 billion operating cash flow in the quarter, the same as fourth quarter, and who would have predicted that? When you are at the high watermark in what is traditionally your best quarter, Q4, strong cash flow and we do the same in the first quarter. There has been a lot of good operational work there. Part of it is we are seeing the benefit of what I talked about in the second quarter and going into the third quarter last year as mentioned, we had some higher inventories than usual. Part of that was in the network side. We said that we would work through that and we did. We saw the benefit of that in the fourth quarter. We managed that well. So we see the continued good work and the execution on the network side, where in the first half of the year they were using cash. On the devices side, our receivables turn has improved a bit, and that is both a function of good execution of focus on collecting and making sure we bring it in, but then also it can be a function of the mix of where your relative sales are. We have certain areas of the world where there's a tendency, they always pay, but they tend to pay later. So that can be a factor. We have benefited a little bit from that. That comes and goes from quarter to quarter. That doesn't have any underlying impact on how well we do, I don't believe, in terms of free cash generation. Nothing other than good conversion of operating profit to cash. That does beg the question then with a bit more than 9 billion in terms of cash, cash equivalents on the balance sheet, what do we do with that? We are going to pay a 1.7 billion dividend here very shortly, which is a significant increase in our dividend rate from last year. We executed the buyback program. We have taken back just a little less than 4.5% of our shares. Those will be canceled at the upcoming AGM, and we need to do acquisitions, and we have done those. We have said that. Olli-Pekka has spoken about how important that is going to be, both in our existing businesses and as we move and develop and execute this plan on consumer Internet services, experiences. We have the flexibility for that. We will look at it and we will assure that we continue to be the number one cash story, which is a combination of a sustainable growing dividend, we hope, and we're going to continue the buybacks. We have authorization to do that. So let's see how it goes. I recognize your point. We have a nice problem here.
 Gareth Jenkins - Deutsche Bank: In the areas that you see acquisitions going forward, you have done lots of bolt-on type acquisitions, but do you actually see any hardware-related in the enterprise space, for example, are there specific targets that you have in mind in particular areas? Thank you.
Olli-Pekka Kallasvuo: I really see the acquisitions happening but rather on the software and Internet technology side than on the hardware side.
Operator: Your final question comes from the line of Mark Sue - RBC Capital.
 Mark Sue - RBC Capital : Thank you. Rick, are there any thoughts on the financial implications of market share gains from current levels? Can we quantify the costs and then the subsequent benefit to earnings for each 100 basis points of market share, for example? I ask because mathematically it seems the benefits can be really significant when you get to, let’s say about 40% market share.
 Rick Simonson : We have said and continue to believe that there's no reason not to have aspirations to go to 40% market share, but we are going to do it in a sustainable way that doesn't trade off total profitability for market share. We are going to continue to execute. I think Olli-Pekka laid it out quite well in terms of what our strategy is. There is benefit. We have shown that as the leader. We would expect to manage it so that as we increase market share, we will continue to enjoy that benefit and perhaps pick up some incremental benefit, as you say.
Mark Sue - RBC Capital: Thank you.
 Bill Seymour : Ladies and gentlemen, this concludes our conference call. I would like to remind you that during the conference call today we have made a number of forward-looking statements that involve risks and uncertainties. Actual results may therefore differ materially from the results currently expected. Factors that could cause such differences can be both external, such as general economic and industry conditions, as well as internal operating factors. We have identified these in more detail on pages 12 to 24 in our 2006 Form 20-F and in our press release issued today. Thank you and have a nice day.